Operator: Welcome to the DuPont First Quarter 2015 Conference Call. My name is John, and I'll be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. Now, I’ll turn the call over to Greg Friedman, Vice President of Investor Relations. Greg, you may begin.
Greg Friedman: Thank you, John. Good morning, everyone and welcome. Thank you for joining us to cover DuPont's first quarter 2015 performance. Joining me are Ellen Kullman, Chair and CEO; Nick Fanandakis, Executive Vice President and CFO; and Jim Borel, Executive Vice President who is joining for the Q&A portion of the call. The slides for today's presentation and corresponding segment commentary can be found on our website along with our news release. During the course of this conference call, we will make forward-looking statements, and I direct you to Slide 1 for our disclaimers. All statements that address expectations or projections about the future are forward-looking statements. Although, they reflect our current expectations, these statements are not guarantees of future performance but involve a number of risks and assumptions. We urge you to review DuPont's SEC filings for a discussion of some of the factors that could cause actual results to differ materially. We will also refer to non-GAAP measures, and request that you review the reconciliations to GAAP statements provided with our earnings news release in today's slides posted on our website. For today's agenda, Ellen will speak briefly about our results for the quarter and the execution of our strategy to create higher growth and higher value. Nick will review our first quarter financial performance as well as our 2015 outlook. I will provide business segment insights, and Ellen will speak again with concluding remarks followed by your questions. Before turning over the call to Ellen, I would like to briefly address DuPont's upcoming Annual Meeting of Shareholders. As DuPont, we have a best-in-class Board of Directors that’s overseeing management’s plan to transform our company to continue to deliver superior value for all shareholders. We look forward to ongoing discussion and engagement with our shareholders as we approach the annual meeting. Please note that the subject of today’s call is the company’s first quarter earnings. With that introduction, it’s now my pleasure to turn the call over to Ellen.
Ellen Kullman: Thank you, Greg and good morning everyone. 2015 is an important year in DuPont’s ongoing transformation and our first quarter results demonstrate our ability to grow next generation DuPont even in a challenging marketing environment. In the next few months, we will complete the most significant steps in our ongoing transformation, the separation of Chemours. We can already see the evidence of the company we will be in the sales and operating earnings growth from our ongoing business over the past several years. We expect to continue this growth trend as we build and leverage our leading positions in large attractive markets for our competitive advantages meet significant opportunities. In this quarter, we delivered operating earnings of $1.34 per share, currency markets significantly impacted the quarter resulting in a $0.27 headwind. $0.25 was due to currency and $0.02 from net exchange losses. I'm pleased to report that we delivered volume and margin improvement in the majority of our post-spin segments. Our intent focus on innovation, disciplined execution and ongoing cost reduction delivered and will continue going forward. Our performance was driven by volume and margin gains in our Performance Materials, Safety and Protection, Nutrition and Health, and Industrial Biosciences segments. Each benefited from new products and applications, tailored to market demand. Even in Agriculture which faced industry-wide challenges we benefited from pricing gains overall on improved mix of products. At the ag markets eventually improved we expect to be well positioned, based on our strong pipeline of seeds and crop protection products including DP4114 and Leptra for insect protection and Lumigen seed treatment. Performance Materials and Safety and Protection were standout this quarter, delivering significant gains and volumes and margins by staying close to their customers and delivering value-added innovations. In our protection technologies business for example, strong demand for our Kevlar, Nomex, and Tyvek products yielded volume growth that more than offset the impact from currency while improving margins. Our Performance Polymers Business had solid performance driven by volume growth in North America and Asia-Pacific was more than offset softness in Latin America and Europe. Innovation coupled with disciplined attention to cost drives earnings and margins. And at DuPont, cost reduction remains a top priority. We continue to increase productivity and efficiency through our redesign initiative. At the same time we introduced more than 600 new products in the first quarter, a 5% increase from the first quarter of 2014. We also announced that we would be increasing our dividend for the second quarter by 4%, our fourth increase since the beginning of 2012. Nick, will you a bit about that after he walks through the specifics of the financial details combine these results and Greg will then take us through the segments. Then I’ll be back to discuss our outlook for this year, the important progress we’ve made on our strategic plan and how we will continue to deliver higher growth and higher value now and in the future. Nick?
Nick Fanandakis: Thanks, Ellen. Let’s start with the details of the first quarter on Slide 2. Operating earnings per share were $34 verus a $58 in the prior year. As Ellen noted operating EPS included a $0.27 headwind from a stronger U.S. dollar, $0.25 due to currency and $0.02 from net exchange losses. Our results reflect our focus on disciplined execution, innovation and ongoing cost reduction in a dynamic environment, including a stronger dollar in challenging ag and TiO2 markets. Consolidated net sales were $9.2 billion, a decline of 9% versus the prior year with six percentage points of that decline due to currency as the dollar continue to strengthen against most of our currencies particularly the Euro, Brazilian Real, and the Japanese Yen. Prior year portfolio actions reduce sales by 2% in the quarter. Well, overall volume declined 1% during the quarter. We delivered volume growth in most of our post-spin segments led by performance materials and safety and protection which grew volumes 8% and 6% respectively. Performance materials volume growth was driven by demand in the automotive sector in North America and China and growth in industrial and consumer markets. Safety and protection volume growth was driven by increased demand in global industrial markets and continued strong public sector demand in Europe. Nutrition and Health and Industrial Biosciences also grew volume by 2% and 1% respectively. Volume decline of 5% in agriculture was due to expected reductions in global corn planted area, lower insecticide demand in Latin America and timing of seed shipments. Electronics and communications, sorry 3% decline, as strong growth in consumer electronics was more than offset by the impact of competitive pressures on Solamet paste. Turning now to Slide 3, currency was and is expected to be a significant headwind in 2015. Operating earnings were negatively impacted by $0.25 which is included in segment results. Exchange gains and losses was a $0.09 headwind in the quarter, $0.02 higher than the prior year. Additionally, although not reflected in operating earnings, we’ve recognized a $0.04 per share charge in connection with Ukraine devaluation. A higher base income tax rate due to our geographical mix of earnings negatively impacted operating EPS by $0.03 in the quarter. Our base tax rate for the quarter was about 22% approximately two points higher than the prior year. The segment results including the $0.25 negative impact from currency as I described earlier were down as strong growth in performance materials and safety and protection were more than offset by the challenging ag and TiO2 markets. Corporate and interest expenses provided a benefit of $0.05 in the quarter, which includes the impact of our operational redesign initiative. In addition, a lower share count contributed a $0.02 benefit in the quarter. Turning now to Slide 4, I would like to highlight some of our geographic results. As you can see our geographical mix of sales shifted year-over-year to a higher percentage of our reported sales occurring in the U.S. and Canada. Excluding the impact of currency, the geographic mix would have been very similar to prior year. Now, let’s turn to our first quarter segment operating earnings analysis on Slide 5. As you can see earnings growth and performance materials, electronics and communications and safety and protection was more than offset by lower results in ag and performance chemicals. The growth in performance materials is driven by demand for ethylene and performance polymers, which more than offset the impact of currency. Electronics and communications results were driven by increased demand in consumer electronics and continued productivity gains partially offset by the impact of lower metals pricing and currency. Safety and protection results increased as higher volumes and continued productivity were partially offset by negative currency. Higher cost associated with an outage at Chambers Works facility were largely offset by benefit in connection with the advancement of an ongoing claim. Greg will provide further detail on segment performance later in this call. Turning now to the balance sheet and cash on Slide 6. We maintain our strong balance sheet position during the quarter. Negative free cash flow of $2.7 billion reflects our typical seasonal agricultural cash outflow in the quarter and was slightly better than the prior year. Net debt has increased in the quarter over our ending 2014 balance, which reflects our normal seasonal shifts. We used existing cash balances to fund our seasonal agricultural working capital requirements, growth investments and dividends. Today, we announced that our Board of Directors has approved a second quarter dividend of $0.49 per share, which represents a 4% increase over the $0.47 paid last quarter. This represents our fourth dividend increase since the beginning of 2012. On Slide 7, I’d like to highlight that we’re continuing to execute on our operational redesign initiative, which delivered about $0.10 of benefit in the first quarter. For the full year, we now expect to deliver about $0.40 of savings as a result of this program. This represents a $0.05 per share increase versus our January estimate. We remained laser focused on productivity and continue to look for additional areas to improve and accelerate our cost reduction programs. The spin-off of Chemours remains on track for completion on July 1 pending final DuPont board approval. As we noted in our January earnings news release, we intend to return all or substantially all of the estimated $4 billion of one-time proceeds back to shareholders via a share repurchased within 12 months to 18 months of the separation, with a portion return by the end of this year. As we previously communicated, Chemours capital structure and separation is expected to support a quarterly dividend to shareholders such as the some of DuPont’s and Chemours aggregate third quarter dividend is equivalent to DuPont’s aggregate quarterly dividend, immediately prior to the separation. Chemours expected to clear a quarterly dividend in the amount of $100 million for the third quarter 2015. This amount is expected to be paid to shareholders as of a record date following separation. We will provide further updates as this information becomes available. Looking ahead, for the remainder of the year the global currency markets have continued to be volatile, will further strengthening the dollar against a broad basket of currencies that we operate in versus our January estimate. As a result, we now expect an $0.80 per share headwind from currency for the full year 2015 based on last weeks rate assumptions. Increased from the $0.60 per share headwind previously communicated in our fourth quarter 2014 earnings call. We are working aggressively to mitigate the stronger currency headwinds by accelerating cost savings from the operational redesign and other corporate in business actions. Given this additional $0.20 of currency headwind we now expect to be at the low-end of our previously communicated range of $4 to $4.20 operating earnings per share for the full year 2015. This includes the full year outlook for the Performance Chemical segment. We expect results to be driven by our underlying sales momentum from the ramp up of our recent product launches like Caesar pure insecticides new product application in Kevlar and new product introductions like our next generation Solamet paste. In the full year benefit of accelerated cost reductions through our redesign initiatives. We are confident in our ability to execute our plans and deliver growth even in a dynamic market environment. With that, I’ll turn the call over to Greg to review the segments.
Greg Friedman: I would now like to provide some brief segment insights focused on our first quarter results and second quarter segment outlooks. As a reminder, the slides with complete segment commentary are posted on the Investor Center website, under events and presentations along with the other materials for today’s call. Starting with Slide 8, in performance materials we delivered strong volume growth in the quarter which help to offset the impact from currency and lower ethylene prices. Segment volumes increased 8% on solid North America and Asia demand in auto and increased ethylene sales. Operating earnings increased 12% at higher volumes and a stronger mix overcame the negative impacts from currency and portfolio changes. Operating margins increased approximately 400 basis points primarily due to mix enrichment. For the second quarter, we anticipate sales will be low teens percent lower due primarily to portfolio changes, currency and lower ethylene prices. Excluding these items sales would be up in the low single digit range. Operating earnings are expected to be up in the mid-single digits percent on higher volume and continued mix enrichment. In our electronics and communications on Slide 9. Operating earnings improved 13% on the stronger product mix and from productivity actions. Sales were 10% lower with continued growth in consumer electronics which were more than offset by the impact of competitive pressures on sales of Solamet paste and the negative impact of lower metals pricing and currency. We believe our competitive position in PV paste is stabilizing and expect to launch the first in our series of new Solamet paste products in the second quarter with additional introductions later in 2015. We expect continued solid demand for our materials into consumer electronics. Second quarter sales are forecast to be down low-teens percent due to the negative impact of metals pricing, currency and from lower Solamet paste sales. Second quarter operating earning are expected to be down low single-digits percent as productivity will partially offset the impact of lower sales versus the strong prior year quarter.
.: First quarter segment operating earnings up $184 million, were up 5% on volume growth and productivity improvements. Higher cost associated with lower plant utilization at the Chambers Works facility were largely offset by a benefit in connection with the advancement of an ongoing client. In addition the segment improved operating margins by a 170 basis points year-over-year. In the second quarter, we expect sales will be down in the mid-single digit percent range as volume growth will be more than offset by the impact of currency and portfolio changes. Operating earnings growth will be in the mid-single digit percent range, due to continued demand for our products, ongoing innovation and continued operational productivity. Slide 11, in Industrial Biosciences, we continue to deliver solid results as volume and operating margins improved despite the challenging environment. Sales were 5% lower as 5% higher bioactive volumes and more than offset by the impact of currency. Volumes growth and enzymes was driven by food market demand partially offset by lower biomaterial sales in the U.S. market. Operating earnings at $56 million or even with prior year overcoming the negative impact of currency. Operating margins continue to improve with a 100 basis point increase versus the prior year and 540 basis point increased in total versus the first quarter of 2013. We expect higher volume to continue in the second quarter driven by benefits from new product offerings and bioactives and increasing penetration into emerging market. These stronger volumes will offset the negative impact of currency and softer U.S. biomaterial volumes resulting in sales and operating earnings results above flat with the prior year. In Nutrition and Health on Slide 12, the business produced volume and operating margin improvement this quarter. Sales were 6% lower as a 2% increased due to volume was offset by an 8% negative impact on currency. We generated strong volume growth in probiotics cultures, texturants and ingredient systems partially offset by lower volume in the specialty protein market in North America. Volume growth was strong in EMEA the slight pressures from the Russia food import ban offsetting weakness in Latin America. Operating earnings decreased $4 million as volume gains and improved mix were more than offset by the negative impact of currency. In the second quarter, we expect continued volume growth in those product lines and the specialty protein markets remain very competitive. Sales are expected to be high-single digits percent lower due to continued strong currency headwinds. Operating earnings are expected to be low-teens percent lower primarily due to the negative impact of currency. In agriculture on Slide 13, the business performed well given the overall difficult market conditions in the industry. First quarter results were slightly better than expected in January primarily due to disciplined cost actions. 2015 is playing out to be one of the most competitive seasons in recent years given the challenging economic environment in the ag sector and with seed suppliers having abundant inventories globally. Lower insect pressure in Brazil and continued elevated distributed inventories in the Americas are presenting headwinds in crop protection markets. First quarter Agriculture segment sales were $3.9 billion, down 10%, as 3% higher local prices were offset by 8% negative impact from currency and 5% lower volumes. We were able to capture 3% higher prices across the segment, driven by an improved mix of Pioneer’s newest corn hybrids and soybean varieties and pricing actions in parts of Europe and Asia, partially offsetting the impact of a stronger U.S. dollar. Volume declined 5% due to lower corn planted area, lower insecticide volumes in Latin America and earlier timing of seed shipments. The largest headwind to volume we continue to face is a further shift from corn to soybeans. We have seen growers in Brazil reduce corn plantings in the past summer and Safrinha seasons and our North America seed order book confirms the continued shift to soybeans away from corn. First quarter operating earnings were significantly impacted by currency and declined 21% as lower sales were partially offset by productivity improvements and disciplined cost actions taken in response to the current market environment in agriculture. Even in this difficult environment, we continue to perform and execute on the variables that are within our control – including bringing new products to market that meet customer demand. We are seeing a positive impact from mix on price as growers demand our newest corn and soybean genetics. And we continue to build our robust pipeline, with growth prospects in near-term from new corn and soybean genetics and technologies like event DP4114 and Leptra for insect control. For the first half of 2015, which reflects the majority of the Northern Hemisphere season, we now expect Agriculture segment sales to be high-single digits percent lower with operating earnings low to mid-teens percent below 2014 as local pricing gains and cost reductions will be offset by currency and lower corn seed and insecticide volumes. On Slide 14, in Performance Chemicals sales were down 14% due to lower volume in prices combined with the negative impact of currency and portfolio changes. Challenging industry fundamentals continued in the first quarter as TiO2 volumes were down 12% and price down 7%. On a sequential basis price was down 5%. Price pressures in the quarter were driven in part by lower than optimal industry utilization rates, and stronger regional competition. In Chemicals and Fluoroproducts volumes were even with the prior year as higher demand for fluoropolymers was offset by lower sales of fluorochemicals, principally due to the reduction in R-22 production allocations. Demand for our next generation refrigerant, Opteon 1234yf was up 30% on continued adoption by automotive OEMs. Operating earnings were down 37% driven primarily by lower TiO2 prices and volumes, the negative impacts of currency, and the impact of portfolio changes. For the second quarter, we anticipate sales and operating earnings will be flat versus the prior year, with currency anticipated to remain a significant headwind year-over-year. Segment volumes are expected to improve sequentially versus the first quarter due to increased seasonal demand for refrigerants and TiO2. Demand for fluoropolymers and chemicals is also expected to improve. Now, I’ll turn the call back to Ellen.
Ellen Kullman: Thanks, Greg. 2015 is a pivotal year for DuPont to the upcoming separation of Chemours as the most significant and visible step in our ongoing transformation to a higher growth, higher value company. The vision of our strategy is reflected in 19% compound annual growth rate of adjusted operating earnings from 2008 to 2014. From our post-spin business, that comprised the next generation DuPont. This new portfolio will continue to build momentum as we leverage our leading positions in three strategic focused areas where we have robust opportunities and strong well established competitive advantages where our science and engineering capabilities can deliver the greatest value for our shareholders. The next generation DuPont will continue to drive the productivity of our exceptional science and innovation platform to deliver value-added products and solutions. We will take advantage of our global scale and market insights to continue to develop the right products for the right markets and deliver them efficiently. Cost disciplined and productivity will continue to be a top priority and with this important transition through our operational redesign we are building a more agile organization that is truly purposed built and scaled for the next generation DuPont. We are investing in modernizing and upgrading a number of our systems to enhance speed-to-market, transaction times, speed and quality of decision making to drive greater performance on a smaller cost base. The disciplined effort we’re applying now is preparing the organization for the next step changing growth and value at DuPont. By the end of 2015, we expect to have annual run rate savings of approximately $1 billion. And at least $1.3 billion in total expected savings by the end of 2017. As we advance this permit change we will deliver more opportunities that improve productivity. The combined force of our science and market insight, applications expertise in global scale, it evident in each of our businesses and forms the foundation of our continued success. While agricultural markets may continue to face challenges in the near-term. We remain confident in the long-term fundamentals for grain and oil seed demand in our growth strategy in the continued benefits of our successful research investments and new product launches. These broad strengths enabled us to grow sales at a 10% rate from 2008 to 2014 outperforming each of our leading competitors. We believe the best validation of the strength of our innovation happens in the market. Our success is reflected by the fact that we increased North American corn share by 6 points and soybeans by 9 points from 2008 to 2014. And farmers planted optimum AQUAmax seeds on over 10% of all U.S. corn acres in 2014. As we look ahead an exciting pipeline of new products like DP4114 and Leptra gives us confidence in the future and our opportunities for growth. With 4114 we saw strong efficacy in yield performance in the research trial play at summer. And we are aggressively integrating this trade into the highest performing Pioneer’s genetics as we prepare for an accelerated product introduction and volume ramp up. This year corn hybrids containing 4114 will be tested in our impact trials which at the final stage of product testing before commercialization. In 2016, we expect to include 4114 in expanded on-farm grower trials under stewardship while we are wait final regulatory approvals. In Brazil, we look forward to customer demonstrations of Leptra hybrids in the summer of 2015 and a commercial launch for the 2015, 2016 Safrinha season, as we await final regulatory approvals. We expect Leptra hybrids will provide enhanced value proposition for growers in Brazil to help to manage lepidopteran pests including fall armyworm and maximize the yield potential of Pioneer genetics. We believe that Leptra will help us strengthen our position in the Brazil market as we ramp up volumes in 2016. In crop protection our robust pipeline continues to deliver and we’ve increased the combined target for our novel insect control products Rynaxypyr and Cyazypyr to approach $2 billion in peak annual sales. We’re also expanding our Lumigen seed treatment offering such as Dermacor, Lumivia and Lumiderm while preparing to launch [indiscernible] for highly effective disease control and for novel insect control in rice. As we approach the four-year anniversary of our Danisco acquisition. I want to provide you with the progress report. We’re on track with our initial plan and we’re seeing the tangible benefits of our strategy. Cost synergies have exceeded our original targets and we’re achieved earlier than plant. We’re making solid progress in the market with productivity has demonstrated by the volume and operating margin improvements this quarter and both Nutrition and Health and Industrial Biosciences despite the challenging environment. Nutrition and Health is now reported seventh consecutive quarters of year-over-year operating margin improvement longer term. This acquisition has provided DuPont with world leading industrial biotech capabilities to create transformational new biobased businesses and unlock future growth opportunities. A Nutrition and Health were combining strong customer relationships with our science and application know-how to create new value. We’re seeing strong growth in key areas such as probiotics and cultures and we’re investing in research and development and global capacity to take advantage of market trends like increasing interest and wellness in the form of our HOWARU Probiotic. We’re also introducing local solutions to collaborations with customers across the globe such as our Yo-Mix starter cultures which meets the needs in a developing world for a nutritious global product that can maintain long life without refrigeration. In 2014, we delivered strong growth with operating earnings of 27%, expanding margins over 200 basis points. Meanwhile, we are currently at the front end of growth curve in Industrial Biosciences. We have a great business that delivered 25% operating earnings growth and 300 basis points of margin improvement last year. In our core markets which include animal nutrition and food enzymes, home and personal care and grain processing are very strong. Even as we continue to invest in our core areas and grow our margins, ongoing advancements in science and technology and demand for renewables and sustainability are rapidly expanding the markets for biobased industrials. With our advanced science and technology capability, we are uniquely positioned to innovate in this fast growing area. We’re focused on creating new categories of renewably sourced biobased products such as Silastic ethanol at biologicals and industrial enzymes. One notable example is Tide Coldwater Clean detergent which is the first branded product to use Silastic ethanol as an ingredient in a scalable commercial way. And advanced materials we are building on our historic strength in application based innovation and delivering on clear routes to growth. During the quarter, our core capabilities in chemistry, polymers engineering and now biosciences enabled us to expand operating margins and increase volumes as we delivered highly tailored value-added solutions for customers. Strong demand continued from the automotive and aerospace industries for light weight fuel efficient materials like new versions of Kevlar, Nomex, Zytel and Vamac. We continue to penetrate alternative energy and clean technology markets. Also we are meeting the needs for ministration of electronics and the increasing demand for protective materials in industrial, construction and military and first responders. We are just getting started in other areas of opportunity and are confident that leverage our industrial biotechnology and production agriculture expertise will allow us to capture developing opportunities for sustainably sourced renewable and differentiated polymers. We also expect continued growth for additional innovation such as Solamet paste and Tedlar film to increase the efficiency and lifetime of photovoltaic cells. For the past six years, DuPont supportive management have been active champions of constructive change. Our efforts have delivered results, clearly visible in our 19% compound annual growth rates and adjusted operating earning since year-end 2008 to 2014. Total shareholder return of 266% outperforming the S&P and our peers, and a total return of $14 billion in capital to shareholders. Our discipline capital allocation strategy reflects our commitment to return capital to our shareholders and invest in growth opportunities. We are confident in the future as we look ahead to a year of continued performance and transformation. We remained focus on delivering higher growth and higher value by investing in and leveraging our innovation platform. Increasing penetration in developing markets and delivering localized solutions. Continually driving lower cost and improving operational efficiency, and actively managing our portfolio all well providing differentiated value-added solutions that customers expect. In conclusion, our portfolio was well positioned to exceed the pace of longer term, macro-trends driving growth. The world needs to say secure supply of food for growing population and rising middle class. Our capabilities directly address the need for increased productivity in agriculture and enable us to develop new products to address increasing demand for wellness and more nutritionist foods, and our science and application expertise continue to deliver advanced materials that power, fuel and transport, the world sustainably and energy efficiently. Our leading science in powerful innovation platform makes it the partner of choice for companies supplying these markets. We continue to move forward with disciplined focus and purpose to deliver value now and position DuPont for future success. As we see the momentum of the next generation DuPont, we are energized by the progress we have made, but are even more excited by the opportunities the future holds. Greg?
Greg Friedman: Thanks, Ellen. We will now open the line for questions. John?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Frank Mitsch from Wells Fargo.
Frank Mitsch: Hi, good morning. It looks like Mr. Vergnano has his work cutout for him. I'm curious as to given the declines in Performance Chemicals, the confident that you have and being able to get that $4 billion, midnight dividends. What sort of evaluation metrics went into that figure and, yes, so if you could help us with that that would be great?
Ellen Kullman: Look Frank, thanks for the question. As you know Performance Chemicals is at a cyclical low. We see that there are although headwinds that we’re faced in the first quarter by challenging TiO2 market, capacity utilization in a low 80s, inventory levels of customers largely unchanged. That the fundamentals are stabilizing. And so – as we look forward, we see not only improvements from seasonal volumes in TiO2 and refrigerants, because they are coming into their season. We have the new products and that point to offer us as stronger pricing environment, in both fluorochemicals and specifically refrigerants and fluoropolymers. And we do anticipate better results in chemicals and fluoro versus the prior year going forward. Productivity continues to help and we’ll continue to help. So they are at a cyclical bottom. And as we have valued Chemours, we took a look at not only at the cyclical-bottom, but at the range that has been experienced over the last few years. So Nick, you want to give some specifics?
Nick Fanandakis: Yes, Frank so as we looked at the capital structure of Chemours, we dialed in all of the things that Ellen just talked about. We dive in the plan for the expectation of what the EBITDA is going to be for the year. We worked with the rating agencies to have some preliminary evaluations done of the business. Of course, everything is predicated on that final point of time, but we are so close right now, that I feel very good about the midnight dividend and the debt level that we’re going to be able to place on the entity, along with the dividend structure that we’ve been proposing.
Frank Mitsch: All right, thank you so much.
Operator: Our next question is from Bob Koort from Goldman Sachs.
Bob Koort: Thanks very much. You guys gave good help around the sales volume by division what FX has done to the results. Can you give us a sense on an earnings level and outside of peak time is there any meaningful transactional risk from currencies?
Ellen Kullman: Yes, so certainly currency and I took portfolio in the same kind of bucket as we’ve had significant portfolio changes within several of this segments. But if you look at things like N&H, if you took our portfolio in currency their earnings – operating earnings would have been up 12%. If you take a look at S&P, their operating earnings would have been up 17%, if you look at performance materials up 29%. The headwinds at portfolio in currency were agriculture and were performance chemicals, were they would not have gotten in the positive figures. I mean its interesting Bob, when you look at back a few years ago, when you take out currency and portfolio with the headwinds we’ve seen in agriculture and the headwinds that we’ve seen in the chemical cycle. Ex-currency we are earned this time last year. And I think that’s a very powerful statement to the strength of the portfolio and the strength of the new DuPont that we’re creating going forward.
Bob Koort: Okay. Thank you.
Operator: Our next question is from David Begleiter from Deutsche Bank.
David Begleiter: Thank you. Ellen, in your comments, you referenced the seed share gains in both corns and soybeans in the last few years into 2015 given the challenging environment, maybe you can grow share or really maintain share of those corns and soybeans?
Ellen Kullman: Yes, so thanks. It’s the little too early to comment on North America share. I can tell you what we’ve been very pleased to adding some mix we’re seeing, we saw in the first quarter. And you can see that with what price has done in agriculture and it’s the stronger mix. I don’t know. Jim, what would you add to that?
Jim Borel: I think it is little too early to try to predict share, but we’re very confident about the competitiveness in corn and soybean products and as well as the services that we’re bringing to growers. In corn, we’re continuing to strengthen our triple stack portfolio and expected to make progress in 2015. So a little too early to predict share, but overall we feel good about our competitors.
David Begleiter: And Ellen, just the Performance Materials volume growth is 8% in the quarter, but actually ethylene sales over the volume growth and what should be underlying volume growth in that segment this year do you think?
Ellen Kullman: Yes, so obviously, ethylene was a benefit in the quarter. I think if you take that out, I think their volumes would have been up 3% to 4% in the balance of those businesses benefitting from stronger automotive in United States and Asia, certainly Europe and Latin America won’t any help in the automative market. But I mean I think the important part there is looks really seeing the benefits from the application development, the innovation centers that we put in a few years ago and the real benefits we’re seeing at the customer in the polymers and not only the performance polymers, but also in the Packaging and Industrial Polymer series.
David Begleiter: Thank you.
Operator: Our next question is from John McNulty from Credit Suisse.
John McNulty: Yes, good morning. Thanks for taking my question. So maybe a follow-up on the Chemours platform. Nick, I think you said, you got comfortable with the ability to dividend the $4 billion out because you kind of reviewed or you’re thinking about where the EBITDA goes. Can you give us an update as to what your EBITDA forecast is for that platform as you are looking at 2015?
Nick Fanandakis: Yes, that hasn’t gone public yet we work with the rating agencies around that plan, but we’ve not gone public with the numbers on that and that won't be public until they go for the debt offering.
John McNulty: Okay, maybe then just as a follow-up on a different angle, speaking to the ag business when we look at the obviously you had some headwinds there. But when you look at the decremental margins they were – they are pretty significant or maybe you can walk us through some of the issues there, especially considering that you are getting some pricing that was noted in the early remarks.
Ellen Kullman: As you know, currency is the huge headwind for us in agriculture. Jim, why don’t you take us through this?
Jim Borel: Yes, I think – for certain currency and the other thing is volume based on corn acre, planted acre declines that are expected and we also saw insecticide volumes down based on the lower pressure of [indiscernible] inBrazil versus a year ago and so, mix had a negative impact – slightly negative impact on margin in addition to the currency and volume, thanks.
Operator: And our next question is from Kevin McCarthy from Bank of America.
Kevin McCarthy: Yes, good morning. Just two part question on the Chemours spin, first on the dividend you took it up to $0.49 with the $100 million to be paid out by Chemours, is there any opportunity to maintain that $0.49 or should we expected to revert to something like $0.46 or $0.47 equilibrating for that $100 million. And second on the repurchase side, Nick, can you do an ASR to bring forward shrinkage of the share count or should we expect execution pretty ratably over the 12 to 18 months. Thank you.
Ellen Kullman: Yes, I think that we’ve been clear relative to the dividends that the combined dividend of Chemours and DuPont would equal the dividend, DuPont have just prior to the spin. The Chemours dividend is their third quarter dividend. And I think that you can do the math going forward as what that would mean. Nick?
Nick Fanandakis: Yes, and so as far as the returning of the midnight dividend back to the shareholders through share buyback what we stated is over the 12 to 18 months Kevin, we’re going to look to see exactly what tool and mechanism we used to secure that – complete that share buyback. This potential for an ASR, there is also potential for open market. But it will be over that period of 12 to 18 months timeframe.
Operator: Our next question is from Don Carson from Susquehanna Financial.
DonCarson: Thank you. Question on ag. You given us the first half outlook download of earnings. But what’s your outlook for the second half given how important Brazil is and then you also talk about 2015 being on our competitive seasons in [indiscernible]. What’s your view on the normalized growth and in margin potential of ag as we get into ‘20?
EllenKullman: Jim?
JimBorel: First of all Don. I think the – longer term picture, as you go forward in ag, we still feel very confident. Number one, that the fundamentals are under the markets remain strong, growing population in the mineral resources et cetera that expect for more science that we can deliver and also our pipeline in both seed and chemistry continues to be very strong. So we remain confident about our long-term trajectory. In terms of second half, obviously Brazil is going to the real, hard to predict exactly, but we’re assuming that, that’s going to continue to be a negative heard. Probably too early to call the Latin America planting expectations, but obviously we’ll be watching that as we come out of energy U.S. gets planted and the markets starts to adjust to expectations there.
DonCarson: And just a follow-up. So what’s you current topline in margin for trend outlook?
EllenKullman: Sorry, you really hard to hear Don. Let me see if I got it. Say you’re looking for the trend outline on both topline and bottom line for ag for the next two years?
DonCarson: Correct.
EllenKullman: Now, I got the question.
DonCarson: Yes.
EllenKullman: Well, yes, that’s – Jim, how about you answer that?
JimBorel: Well, I think that the answer is going to depend on how the environment over the next 12 to 18 months plays out. And so as I mentioned earlier longer term – in the bigger picture we’re still very confident about our trajectory and then the question is going to be what happens with currency and planted acres in some of these crops over the next 12 to 18 months.
EllenKullman: Yes, back to you, and so we are looking to see that should be an improving picture. I think as each quarter goes on we understand exactly where those numbers are coming out to here and in Latin America, it’s going to have the big impact on the recover.
Nick Fanandakis:
…:
EllenKullman: Yes, I think that’s what is – I think the differentiator is the pipeline. I mean, we take a look at the pipeline both in terms of the crop protection chemicals we talked about. Insecticides and fungicides, in terms of as DP4114 and Leptra in terms of T Series soybeans penetration. So we’ve got a very strong portfolio about seed treatments, et cetera coming in and I think that regard most of the environment, I think we’ve got a strengthening picture for Agricultural segment.
Operator: Our next question is from PJ Juvekar from Citi.
PJ Juvekar: Yes, hi, good morning. Ellen, one of the ways to come that FX to get local pricing, can you talk about segments where you believe you can – you have the ability to get pricing going forward?
Ellen Kullman: Yes, PJ, so I mean that’s very much depended on the sector and on the competitive nature where our – for selling in Europe and you have European competitors, so a little harder to get price that it is if you are selling in Europe against U.S. or Asian based competitors. So I mean, I think the interesting thing is that based on the fourth quarter. Our teams have gone out and reinvigorated the pricing analysis down based on the currency change and each individual product line, each individual precedent is driving the appropriate actions for their sector based on that, where we make versus where the competitors make and you can do the math balance if they were that comes out. So there are opportunities and there are headwinds in that. And I think the most important thing is that our people are on top of it and really driving that. But at the end of the day, our major focus is still on value news, it still on the innovation and as a differentiator and we continue to use that. I mean I think you see that in ag with the positive pricing in a very difficult ag environment where the pipeline and the new products are giving us benefit even when the acres are down. So this is a detail orientation out in the field to really drive the best results.
PJ Juvekar: And just a quick follow-up on your biomaterial, biofuels platform you commented on that. How does that platform compete at today’s oil price? Thank you.
Ellen Kullman: Well, bioactives really aren’t impacted by the price of oil. And that’s where tremendous amount of growth and opportunity are coming from. We see it in the animal nutrition area, we see it in the human nutrition area, we see it in even in ethanol, we’re increases in gasoline are really continuing to drive opportunities there. So bioactives remained strong. Now, in the biomaterial specifically Sorona margins are pressured by oil, because lower feedstock cost for competing carpet fibers. And so you are seeing that in their results and that there are some headwinds associated with that. And Silastic ethanol well, that’s just coming up the plans coming up this quarter and you know we’re just continuing to drive that. So overall the bio-accessory which is really were tremendous amount of opportunity is, there is no headwinds from an oil stand point.
Operator: Our next question is from Michael Ritzenthaler from Piper Jaffray.
Michael Ritzenthaler: Hi, yes good morning, so within the agriculture obviously encouraging to see higher prices and also the competitive environment become, I’m curious if you could elaborate on how much further a cost action is needed to serve during the operating income in that segment and kind of the nature of those cost actions. And whether growers downshifting at trades in North America and grower profits being more constrained globally influences how you view R&D investments over the next couple of years. And then if there is a way to quantify volume in price X crop protection?
Ellen Kullman: Yes. Let me so – we’re valuing new seller it is the genetics, it is the capability of our seeds that creates the opportunity for us there. And farmers make the choice of the seed first. But Jim, why don’t you elaborate on this?
Jim Borel: Yes. Well, a number of aspects. So first of all farmers are obviously scrutinizing pretty closely there all of their input purchases. But that said as Ellen said as we deliver more value to the farmer whatever the commodity price that’s reflected in, we can kept the part of that value. So we’re continuing to move forward there you ask about costs we – if I go back to the fresh start work that we work across corporately obviously the ag businesses where part of that. So we’ve really been working on streamlining the operating model, productivity as a way lives over constantly looking for ways to improve productivity to speed up operations and focus our cost. U.S. that little bit have that might impact R&D investments, I think the way I would describe that is, we’re fully fund in this strategic research projects that are going to drive the pipeline and the future value continue as you normally would making sure that we’re really focused on the most important opportunities. So R&D investment will continue strongly, particularly in the most important projects.
Ellen Kullman: Yes, its hard to see Pioneer spilt those…
Jim Borel: Seed crop protection.
Ellen Kullman: Yes, I’m sorry seep crop protections. Crop protections split you know a crop protections are sales what is impacted Pioneer’s were they get little better from that standpoint, so plus or minus around that decline is Pioneer’s are little above and crops are little below. But lot of that going out to play out the season is not over yet there’s still a lot of opportunity coming through North America and the second quarter again prepared for summer to springing seasons in Brazil. So what time left in this season for this year and we’re really excited about the products and the progress that we are making.
Nick Fanandakis: We have time for one last question.
Operator: Our last question is from Vincent Andrews from Morgan Stanley.
Vincent Andrews: Thanks, and you kind of just address some of this. So I just want to make sure reconcile with the quadcam inventory levels being elevated in the Americas and you still some of the enthusiastic about Rynaxypyr and Cyazypyr so is that those products will continue to grow sales this year, but you might have some headwinds in the balance of the portfolio?
Ellen Kullman: I think that’s correct. It really depend on the pest pressure and as we come through the season so, Jim similar comments.
Jim Borel: Yes, first of all you are right. It will depend on pest pressure, we are positioned very well and we are continuing to expand soyas appear countries around the world, is that most of the launch where we’re starting to move [indiscernible] fungicide forward so crop protections and seed treatments in a number of countries so crop protections pipeline continues to be a really important part of their growth and away from continuing to strengthen margins overtime.
Vincent Andrews: And Jim, do you just have a quick sense of whether your reference that the corn acres in the order book suggest that, farmers are switching to soya do you think it’s more or less of the switch than what sort of this is implied by the USDA forecast.
Jim Borel: Yes, this time in the season its almost possible to say and farmers are really just get in the filed early stages, it’s going to depend on what happens with the weather over the next couple of weeks and what actually goes in the ground. What the final acres will be, so we don’t have any better information than what you heard.
Vincent Andrews: Great.
Nick Fanandakis: Well, thank you everybody for joining the call today. Our team is available for follow-up questions if there are any.
Ellen Kullman: Thank you all.
Jim Borel: Thank you.
Operator: Thank you ladies and gentlemen. That concludes today’s call. Thank you for participating. You may now disconnect.